Operator: Good afternoon. Welcome to Synchronoss Technologies Fourth Quarter and Full Year 2022 Earnings Conference Call.  Joining us today are Synchronoss Technologies President and CEO, Jeff Miller; and CFO, Lou Ferraro. Following their remarks, we will open the call for your questions. Then, before we conclude, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and made available for replay via a link to the Investor Relations section of the company's website at synchronoss.com.  Now I'd like to turn the call over to Synchronoss' CEO, Jeff Miller. Sir, you may proceed.
Jeff Miller : Thank you, operator. Welcome, everyone, and thank you for joining us today. After the market closed, we issued a press release announcing our results for fourth quarter and full year ended December 31, 2022. A copy of the press release is available in the Investor Relations section of our website. And I encourage all listeners to view our release for additional information on what we'll be discussing today. I'll start with a review of our estate updates and highlights before turning it over to Lou to discuss our financial results for the fourth quarter and full year 2022. After that, we'll open the call for questions. Our continued focus on growing our core cloud business and managing our cost structure resulted in further improvements in profitability and cash flow in the fourth quarter, enabling us to meet our bottom line goals for the year. Despite the challenging macroeconomic environment, including headwinds with lower mobile handset purchase activity and subscriber activations, we grew subscribers by a double-digit rate for the 11th consecutive quarter. And more significantly, we increased our invoiced cloud revenue by 9.5% in Q4 and more than 8% for the full year. Clearly, the momentum of our cloud business remains strong. Our cash generation capabilities are materializing and growing, and we continue to deliver innovative and profitable solutions to our global base of customers. Our performance throughout 2022 has set the stage for us to continue to scale our high-margin cloud business and attain our goal of generating positive cash flow in 2023. And as we look forward to 2024, the combination of anticipated cloud subscriber growth matched with the conclusion of certain nonrecurring payment obligations positions us to ramp cash growth significantly further in 2024. I'll now provide further updates with the three product groups. Beginning with our core business, we experienced another solid operational quarter in Cloud. In the quarter, we finalized a major cloud agreement with another Tier 1 global operator that we expect to launch in the second half of 2023. We and is forecasted to deliver more than $50 million over the term of the relationship. We also previously shared that in Q4, AT&T chose to exercise a one-year extension option on its existing agreement which now runs through the end of 2023. There were no changes to the commercial terms and AT&T continues to leverage its personal cloud to further engage with its customers. As part of the extension, AT&T is expanding its marketing and distribution to leverage their retail channels with additional education and sales incentives, highlighting the capabilities of the AT&T Personal Cloud. We are anticipating a long-term renewal agreement with AT&T to be executed this year. In November, we announced that we'd be adopting Verizon's private storage infrastructure to manage all digital content for Verizon customers using the Synchronoss Personal Cloud platform. On one hand, this consolidation allows Verizon Cloud subscribers to more efficiently store photos, videos and other digital files control, authentication and customer life cycle management. We've also made continued progress on our three strategic cloud priorities which are, number one, to protect and grow subscribers; number two, expand our global customer base and to three anchor features. Beginning with our first priority, progress with existing customers has continued with subscriber growth maintaining its strong pace, as I mentioned earlier, improving 14% year-over-year in Q4. Despite the global economic headwinds and challenging competitive dynamics in the mobile industry, we continue to deliver double-digit subscriber growth through increased collaboration with our two largest customers, AT&T and Verizon.  Moving to priority #2, global customer expansion. As I mentioned earlier, the highlight of the quarter was the December signing of a milestone agreement with a global Tier 1 operator which is forecasted to deliver more than $50 million over the life of the multiyear contract. The customer is a leading provider of mobile, telecommunications and ISP services, and we've begun work with them to launch the Synchronoss Personal Cloud to their tens of millions of subscribers with the launch expected in the second half of this year. This event underscores a critical step in our goal towards global cloud expansion. Our recent attendance at the Mobile World Congress industry event was encouraging as well, where we witnessed a return of over 100,000 attendees. In meetings with dozens of customers and prospects, it is evident that service providers across Europe, Asia and North America continue to provide prioritize ARPU growth and profitability. And they're viewing value-added services such as the Synchronoss Cloud as essential pieces to the equation for generating new revenue with the added benefit of reducing customer churn. We're beginning 2023 with a strong pipeline of additional cloud opportunities that reflect the relevance of our revenue generated value-added services, building further upon this recent Tier 1 win.  Moving to the enhancements to our cloud feature capabilities, we made significant updates to our platform in Q4 for further cementing our leadership position as the #1 in white-label cloud. At the beginning of this year, we unveiled the next-generation personal cloud platform at CES in Las Vegas. Our cloud solution, which now supports over 9 million subscribers worldwide, includes several features and functionality that leverage artificial intelligence and machine learning to enhance user engagement and to ensure data privacy and security. The enhanced platform also adds capabilities to better share files and optimize photos. During MWC in Barcelona, artificial intelligence was one of the major industry themes. The emerging fascination with generative AI is something that we anticipated and have already applied to the updated cloud offering. In Q4, we debuted Genius, which is just one element of Synchronoss' robust AI capabilities. The Genius algorithms use deep learning modules for photo optimization. The first set of benefits allows users to enhance images, color, black-and-white photos or perform touch-ups on faces in captured pictures.  Advanced highlights, another new capability exemplifies our leveraging of machine learning to improve subscriber engagement. This capability allows our cloud platform to present and share compelling user contract tenure through curated presentation of flashbacks of the moments that mean most to them. We also introduced Private Folder. Personal Cloud Private Folder includes a PIN-protected place to safely store valuable user content, such as important photos or personal documents. This capability enables users to take advantage of edge detection to easily and accurately scan and upload documents and other information to the secured folder. Additionally, part of the updated platform capabilities is backtrack, a feature that allows users to restore files for their versions from previous days. This feature has many uses, such as recovering from a virus, ransomware or other malware that infected a user’s files, or protecting access to files that may get accidently corrupted or lost.  Our product updates were high in our Synchronoss hosted Explore virtual event earlier this year, and I encourage those of you on the call today to replay that, which is available in our Investor Relations website. In summary, we're continuing to position our high-margin cloud business for growth among new and existing customers. Our cutting-edge technology is trusted by the largest operators in the world and we're committed to continue to innovate and advancing our position as the leader in white label cloud. In the messaging business, we saw positive developments with customers in Europe and the Asia Pacific markets. The quarter was highlighted by a milestone among the Japanese consortium of mobile operators as they reached 32.5 million subscribers for the +Message cross-operator RCS service, which is powered by the Synchronoss Advanced Messaging platform. The mark represented a 62% increase in subscribers since November 2020. This is a great momentum for RCS in Japan and we are continuing to work to provide innovative solutions that enable new ways to connect, engage, collaborate and transact business. Additionally, we announced the extension of a longstanding relationship with a major global service provider in the APAC region, as we now help them support over 50 million email service users with the Synchronoss Email Suite and the Mx9 core messaging platform. This milestone not only demonstrates the level of commitment to innovation and customer satisfaction, but also the scalability of our solutions and the strength of our technological capabilities. The extension comes on the heels of several other wins. Also in the fourth quarter, we migrated 13.5 million subscribers from a leading telco operator in Italy to the latest version of the Synchronoss Email Suite. This new environment has been enhanced with the latest features such as anti-spam, antivirus and IP reputation capabilities. At the end of Q3, we also announced a three-year synchronous e-mail suite extension with Fastweb, a leading Italian telecommunications operator. These customers in Italy have each been partnered with Synchronoss for over two decades, demonstrating the long-term value provided by our messaging platform. In summary, Messaging continues to support our broad set of global customers and to complement our core cloud business while providing financial stability, profitability and positive cash flow. Finishing in digital, we signed new contracts and rebranded the portfolio of products, introducing the NetworkX monitor. The new brand identity more closely aligns our focused value proposition for telecom service providers to increase the utilization of network infrastructure and assets and services while reducing their costs. For the purposes of this quarter, all NetworkX business is being referred to by its legacy digital distinction. Beginning in 2023, our financial reporting will be updated to reflect the new NetworkX naming conventions. As we also noted during our latest update in November, we signed a multiyear agreement with Consolidated Communications to utilize the ConnectNX platform. As a reminder, ConnectNX is the newest evolution of our iNOW products, and it is the industry's only wholesale solution that enables partners to conduct business on a blockchain distributed ledger. Consolidated Communications has been using it to manage order fulfillment and network ticketing processes as well as to deliver simplified customer experience. Going forward, we expect our remaining digital business to drive a steady revenue stream and healthy profitability for the company.  In summary, the momentum of our cloud business remains strong. Our cash generation capabilities are materializing and growing, and we're continuing to deliver innovative solutions to an expanding set of global customers. As we move through 2023, we are accentuating the strong profit and growing profile of Cloud while continuing to drive free cash flow improvements through disciplined cost management efforts.  With that, I will turn the call over to Lou to discuss our financial results for the quarter and year in greater detail. Lou?
Lou Ferraro : Thank you, Jeff. Our fourth quarter free cash flow performance resulted from the combination of solid cloud growth over the past year and our continued prudent cost management efforts. We achieved free cash flow of $1.4 million and adjusted free cash flow of $4.2 million, increases of $8.1 million and $10.6 million, respectively, from the prior year period. As noted previously, we are still experiencing macroeconomic conditions that are slowing the pace of customer decision-making, which had a moderate impact on our top line results during the period. Additional contributors to financial performance in the quarter came from $5.9 million in revenue recognized in Q4 2021 from the sale and product sunsetting of the nonstrategic DXP and Activation assets earlier in 2022, and expected $3.6 million runoff in cloud deferred revenue and a $1.2 million unfavorable revenue impact from foreign exchange. These impacts were partially offset by cloud subscriber growth. Despite these headwinds, the operating improvements made throughout 2022 still resulted in a $20.3 million increase in operating income for the year, thanks to a nearly $50 million reduction in total cost and expenses. Now I'd like to briefly discuss some of our key performance indicators, which serve as the leading success metrics for our business. First is the solid year-over-year cloud subscriber growth of 14%, continuing our trend of double-digit growth for the 11th consecutive quarter. Looking at revenue by product, cloud revenue of $39.8 million was down 12% on a year-over-year basis as a result of expected deferred revenue runoff as well as the sunsetting of the mobile content transfer product the functionality of which is now built into the cloud product platform. Cloud revenue represented 65% of total revenue in the fourth quarter of 2022, up from 61% in the same period of 2021 and up slightly from 64% in Q3. Digital revenue of $8.1 million was down 46% on a year-over-year basis due to the sale and product sunsetting of the nonstrategic DXP and Activation asset sale in Q2 and made up 13% of total revenue in the quarter. Messaging revenue of $13.7 million made up 22% of revenue and remained approximately flat from 2021. Quarterly recurring revenue was 81.6% of total revenue in the fourth quarter, comparatively flat from Q3. And annual recurring revenue was 84.3% in 2022, also comparatively flat from 2021. Invoiced cloud revenue increased 9.5% year-over-year to $41.4 million and grew 8.3% for the full year 2022 to $152 million from $140.9 million in the prior year. This non-GAAP metric is intended to provide greater transparency in underlying revenue trends within our cloud business. Invoiced revenue represents the cash revenue earned in period and is a direct reflection of the overall health and trajectory of the business. Invoiced cloud revenue was not impacted by changes in deferred and unbilled revenue and more accurately illustrates the growth of our core cloud business. We expect continued growth of invoiced cloud revenue in future quarters, driving improvements in cash flow as subscribers grow and new customers come online.  Turning now to our financial results in the fourth quarter and full year ended December 31, 2022. Total revenue in the fourth quarter decreased 17% to $61.6 million from $73.8 million in the prior year period. Looking at the full year, total revenue decreased 10% to $252.6 million from $280.6 million in 2021. The decline in revenue for the quarter and year was a result of expected impact from the sale of product sunsetting of the nonstrategic DXP and Activation assets earlier in '22, the expected runoff in cloud deferred revenue, unfavorable revenue impact from foreign exchange and the temporary slowdown in purchasing activity as a result of macroeconomic conditions. Also of note, in the first half, of year of 2021, we recorded $11.3 million of revenue related to the termination of the CCMI joint venture, which was a major contributor to the year-over-year decline.  Lastly, a good portion of our revenues come from operating in international markets. The relative strength of the U.S. dollar in relation to other global currencies, notably the Japanese yen and the euro, had a quantifiable impact on our results.  During the fourth quarter the negative impact to revenue was approximately $1.2 million compared to the prior year period. For the full year 2022, the impact from FX was a negative impact of approximately $5.1 million. Gross profit in Q4 decreased 17% to $32.2 million or 52.3% of total revenue from $38.8 million or 52.5% of total revenue in the prior year full year period. For the full year gross profit increased 5% to $131 million, or 52.1% of total revenue from $139.1 million, or 49.6% of total revenue in 2021. The decrease in gross profit for the quarter in year was primarily attributable to the previously mentioned changes in deferred revenue, the sunsetting of the mobile content transfer product and the sale of the company's DXP and Activation assets. The increase in gross margin was primarily attributable to increased revenue from high margin cloud subscriber growth and benefits from cost management efforts which have resulted in ongoing lower operating expenses.  Fourth quarter loss from operations was $3.5 million compared to income of $4.6 million in 2021. The increase in operating income was a result of the revenue change slightly offset by greater efficiency of R&D resources, and other cost management efforts. For the full year, income from operations was $1.3 million, compared to a loss of $19 million in 2021. The increase in operating income for the year was a result of an increased portion of high margin cloud revenue, as well as reduced SG&A expenses and greater efficiency of R&D resources throughout the year.  Net loss in Q4 was $15.9 million or $0.18 per share, compared to a net loss of $2.1 million or $0.02 per share in the prior year period. The increase in net loss was primarily attributable to the changes in revenue of $12.2 million, an increase in SG&A primarily as a result of the change in the contingent consideration of $3.6 million, an increase in commissions directly related to the Tier 1 cloud contract signed in Q4 mentioned by Jeff, an increase in other expenses related to noncash foreign exchange from reevaluation of the company --intercompany trade receivables, which was partially offset by continued expense management. For the full year, net loss was $17.5 million or $0.20 per share, compared to a net loss of $58.5 million or $0.90 per share in 2021. The significant improvement in net loss was a result of operational improvements made throughout 2022 that resulted in nearly $50 million in annual reduction in total cost and expenses, which have substantially streamlined our overall operating cost profile going forward.  In Q4 adjusted EBITDA decreased 41% to $10.9 million, or 17.7% of total revenue from $18.3 million or 24.8% of total revenue in the period than prior year period. The decrease in adjusted EBITDA margin was primarily attributable to the change in revenues as previously outlined, partially offset by expense management. For the full year adjusted EBITDA decreased 3% to $48.1 million or 19% of total revenue from $49.4 million or 17.6% of total revenue in 2021. The increase in adjusted EBITDA margin was partially attributable to the favorable change in revenue mix toward high margin cloud subscriber growth, and ongoing benefits from cost management efforts previously noted which will continue as we enter 2023. The decrease in adjusted EBITDA resulted from the change in revenue as previously outlined, albeit at a lower nominal rate than the change in revenue.  Moving on to the balance sheet, cash and cash equivalents were $21.9 million at December 31, 2022 compared to $22.6 million at September 30, 2022 and $31.5 million at December 31, 2021. Free cash flow was $1.4 million and adjusted free cash flow was $4.2 million. Additionally, Synchronoss has yet to draw upon the accounts receivable securitization facility we entered in the second quarter of 2022 and we do not anticipate needing to utilize it. Further, we believe that our current cash position and expected improvements in cash generation in the coming quarters, we do not have any need to raise additional capital for the foreseeable future. As a reminder, approximately $28 million of tax refund claims are still included on the balance sheet within our prepaid assets. The company did not receive any additional tax refunds during the period. The remaining tax refunds remain under audit. We are responding to the IRS data requests in a timely manner and the audit is progressing. It is difficult for us to estimate a time when the audit will be concluded. It is our intention to use the remaining tax refunds to pay down preferred shares when they are received. Now, let me move on to guidance. Based on the continued strong performance within our core cloud business, as well as improvements in operational expense management, we are reiterating our expectation to be cash flow positive on an unadjusted basis for 2023. We currently expect to generate cash flow in the single digit millions for the full year. Additionally, after factoring in anticipated cloud revenue growth, along with the expiration of certain existing non-recurring payment obligations and other costs, we expect cash flow generation to significantly improve in 2024. We also expect cloud subscriber growth to continue at a double-digit rate on a year-over-year basis in 2023. Moving to GAAP revenue. For the fiscal year ended December 31, 2023, we expect revenue to range between $242 million and $255 million. The comparable 2022 pro forma GAAP revenue is $240.4 million after adjusting for the deferred revenue runoff and $4.8 million in revenue recognized prior to the sale of the DXP and Activation assets. The net contribution to GAAP revenue from noncash deferred revenue is expected to be $7.4 million less in '23 than it was in 2022, most of which is related to the first half of the year. As a result of these factors, revenue in the first and second quarters of '23 is expected to decline moderately year-over-year on a GAAP basis. After this time, the majority of the impact from deferred revenue and divestitures is expected to be realized. As a result, we expect to return to total revenue growth on a GAAP basis for the second half of the year and in 2024.  Finally, we expect adjusted EBITDA to range between $44 million and $55 million in 2023.  I'll now turn the call over to the operator for Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Josh Nichols from B. Riley.
Josh Nichols : Question. Just looking at the 4Q revenue, could you provide a little bit more color? It looks like it came in near the bottom of the range. I'm just kind of curious what the puts and takes were between the top and bottom end of the range? And how that played out relative to the company's expectations, specifically on the cloud business and how that will translate to revenue in 1Q relative to where we came off in 4Q?
Jeff Miller : Yes. Great question, Josh. So revenue for Q4, in particular, was again impacted negatively by the foreign exchange, as mentioned by over $1 million in the quarter. We also did see some delays in customer decision-making. But candidly, that was mostly outside the cloud arena. We found a very healthy cloud performance by virtue and what you saw in the results with invoiced cloud revenue growing 9.5% in the quarter, we were quite pleased with that and feel that, that bodes well for what we're going to expect to see as we continue in 2023. I don't know if you want to add to that? The decision-making, Josh, that we saw that was delayed was not a matter of many companies that were looking at license sales, primarily in our messaging and digital business saying that they were not going to purchase the process products, but more that they were pushing out those decisions into 2023.
Josh Nichols : And then just the trajectory sequentially for the first quarter relative to the 4Q and what's kind of baked into that outlook?
Jeff Miller : Josh, could you repeat that? Q1 '23?
Josh Nichols : Yes, Q1 '23 relative to 4Q and just what's kind of baked into the outlook? I assume that's going to be down a little bit sequentially before returning to growth in the second half?
Jeff Miller : Yes, yes. It will be down slightly, Josh, in Q1 and Q2. And then we expect that, that will turn around in Q3 and Q4 -- in Q1 and Q2, that will be slightly impacted by these macroeconomic decision-making efforts, which just trying to be conservative about that. However, our cloud growth, we think, will continue to remain strong with that double-digit subscriber growth being the main catalyst for that.
Josh Nichols : And then I think the last question for me, probably one of the bigger points to focus as the company had a nice transition to positive free cash flow generation here. It seems like you're on track. Is the expectation that you're going to be able to maintain and increase this level of free cash flow generation? Or is there going to be much changes to it as we think about the cadence of that cash flow generation in '23, given the continued cloud subscriber growth that we've been seeing?
Jeff Miller : I think what you'll see, Josh, is we always usually have our normal periodic dip with some annual recurring payments in Q1 and that tend to impact cash flow. We then usually tend to stabilize that over the last few years in Q2 and have that growth continue in Q3 and Q4. I think we'll see a very similar trajectory in 2023.
Operator: One moment for our next question. [Operator Instructions] Our next question comes from the line of Mike Latimore from Northland.
Michael Latimore : All right. Great. Just in terms of the revenue guidance range for the year, how should we think about the variables that kind of gets you to the low end versus the upper end of that range?
Jeff Miller : Yes. First off, obviously, in each of the circumstances on a pro forma basis, it represents growth over what we achieved in 2022. And then what we expect within that range from 242 million to 255 million will be based on the continued pace or maybe accelerated pace of subscriber growth, that will be a large driver. And then key decision-making for license purchases throughout the year, both in our messaging and our digital portfolio. Those will help define kind of where we fit within that range as we finish out the year.
Michael Latimore : Great. And did you say that you expect growth in all three businesses, as you said, or…?
Jeff Miller : No, I would represent full expectations that you're going to see growth in our business in cloud for sure. And we expect generally flat performance across the messaging and the digital portfolio, depending on where we land in that range.
Michael Latimore : Okay. Got it. And then -- in terms of the first half, I think you still have the comp against the DXP business. How much of a year-over-year effect of the DXP sales have in the first half?
Jeff Miller : That's about $4.8 million. And then in addition to that, as you heard from Lou's comments, the other year-over-year comp will be about $7.5 million worth of deferred revenue runoff that will have been in the prior Q1 and Q2 for 2022.
Michael Latimore : And then just on the move to the Verizon private cloud storage. How much -- I think that should help your gross margin, but can you quantify that a little bit? How much that might help your gross margin?
Jeff Miller : Yes. We're right now moving and almost completed all of the transition actually into that object storage from Verizon and we do expect that it is going to have a favorable influence on our total margin picture. In dollar terms, probably $6 million to $8 million worth of improvement in our cost structure to improve overall gross margin for the cloud business, which is just another tailwind with an already profitable business
Operator: [Operator Instructions] And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Jeff Miller, CEO, for any further remarks.
Jeff Miller : Great. Thank you. I'd like to acknowledge the continued dedication of the entire Synchronoss team, evident through the contributions made throughout 2022. Through your hard work and commitment our customers and commitment to our customers, we have established a strong and global presence of customers and a reputation for excellence in innovation. For those of you joining us today, we appreciate your continued interest in our company. And to our investors, thank you for your continued support. We look forward to meeting with many of you over the course of the next day or weeks to come. Operator, thank you very much.
Operator: Thank you. Before we conclude today's call, I would like to provide Synchronoss' safe harbor statement that includes important cautions regarding forward-looking statements made during this call, management discuss certain factors that are likely to influence the company's business going forward. Any factors that are discussed today that are not historical, particularly comments regarding our prospectives, market opportunities should be considered forward-looking statements within the meaning of the applicable securities laws. These forward-looking statements include comments about the company's plans and executions of Ford future performance. Forward-looking statements are subject to a number of risks and uncertainties and which could cause actual results to differ materially. All listeners are encouraged to review the company's SEC filings, including the most recent 10-K and 10-Q for all description of these risks. Statements made during this call are made as of today, and the company does not undertake any obligation to update or revise any such forward-looking statements, whether as a result of new information, future events, changes to expectations or otherwise. Please note that throughout today's call, management discuss certain non-GAAP financial measures such as EBITDA. Although the non-GAAP measures are defined from GAAP numbers, adjusted EBITDA does not necessarily equate to cash generated by operations as it does not account for such items as deferred revenue or the capitalization of software development. Today's earnings release describes the difference between the company's non-GAAP and GAAP reporting and present a reconciliation for the periods reported in the release. Thank you all for joining for today's Synchronoss Technologies Fourth Quarter and Full Year 2022 Earnings Conference Call. You may now disconnect.